Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ribbon Communications Second Quarter 2018 Earnings Conference Call. During the presentation all participants will be in a listen-only mode, afterwards we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Tuesday, July 31, 2018. I would now like to turn the conference over to Sara Leggat, Head of Investor Relations. Please go ahead.
Sara Leggat: Thank you, good morning and welcome to our second quarter 2018 financial results conference call. On the call with me today, are Fritz Hobbs, President and CEO; and Daryl Raiford, CFO. Today's press release and supplemental data have been posted to our IR website at ribboncommunications.com. A recording of this call and a transcript will be available on our IR website shortly after the call. Please note that during this call, we'll be making forward-looking statements regarding items, such as business, strategy, pending acquisitions, future market opportunities and the company's financial outlook. Actual events or financial results may differ materially from these forward-looking statements and are subject to various risks and uncertainties, including, without limitation, economic conditions, market acceptance of our products and services, the timing of customer purchasing decisions, revenue recognition, our ability to successfully integrate GENBAND and Sonus, our ability to successfully complete pending acquisitions, difficulties leveraging market opportunities and the impact of cost-containment efforts. A discussion of these and other factors that may affect our future results is contained in each of Ribbon Communications' latest annual and quarterly reports on Form 10-K and 10-Q available on our IR website and which identify important risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. While we may elect to update or revise forward-looking statements at some point, we specifically disclaim any obligation to do so. During our call, we will be referring to certain GAAP and non-GAAP financial measures. Reconciliations of historical non-GAAP measures to comparable GAAP financial measures are included in our presentation on our website and in our earnings press release issued today. With that, let me turn it over to our President and Chief Executive Officer, Fritz Hobbs.
Franklin Hobbs: Thank you, Sara, and good morning to everyone on the call. Today, I intend to give you an update around the substantial progress we are making with our integration of Sonus and GENBAND, the four strategic priorities we said at the start of the year, and thoughts on the remainder of 2018. Daryl will provide an update on both our financial performance this past quarter as well as our current view of the full year 2018 guidance. As you know, we announced in late June of this year that we signed a definitive agreement to acquire Edgewater Networks, a market leader in Network Edge Orchestration. We believe this acquisition significantly advances our enterprise Edge addressable market and feature capabilities which we believe will extend our leadership position in SBC and Cloud UC, an alliance with Ribbon's strategic focus on SBC, Cloud UC, security and then analytics. With this acquisition we will be able to offer a large customer base a complete core to edge product portfolio, unrivaled end-to-end service assurance and analytics solutions and SD-WAN service. As it relates to Ribbon's second quarter 2018 financial results, I'm very pleased with our strong financial performance. We had both year-over-year and sequential improvement in our profitability as we remain vigilant to drive down our cost structure and improve our operational efficiencies. We delivered non-GAAP total revenue of $145 million and an adjusted EBITDA of $20 million this past quarter. We have made excellent progress with our merger integration activities and now after completing the first half of this year I'm pleased to report we've rationalized over $75 million in annualized cost synergies. Turning to the full year, we continue to be cautious with respect to macro market conditions in the service provider space, but we believe our opportunity pipeline in the second half of this year is solid and our level of operating efficiencies continues to improve. We therefore retain our beginning of the year view on our full year 2018 revenue trends and remain confident in our previously provided guidance of $75 million in adjusted EBITDA for fiscal 2018 on approximately $580 million of non-GAAP revenue. Daryl will speak more of our outlook for the year in a moment. Earlier in the year I outlined our one and four strategy with our immediate near-term focus on swiftly capturing cost synergies while our four strategic pillars are focused on capturing market opportunity. To give you a quick update on the integration process, we continue to expect a large portion of our integration efforts to be completed by the end of this summer. During the second quarter we launched a common ERP platform and we were able to migrate the bulk of our business transactions to this system and we integrated our accounting and reporting systems. I'm encouraged with the manner that all of our functions have tackled these challenging integration efforts. Turning now to our four strategic initiatives, I'm pleased to say we're making solid progress. In terms of our strategy to invest in our core products we're moving forward along a number of fronts. For example, our early investment in the Japan market is beginning to pay off. Japan is still in the early stages of shifting from TDM to IP. With a mandate to migrate to IP by 2025 we believe the Japan market represents a meaningful opportunity for Ribbon over the next several years. This quarter we won a sizable deal with Softbank which is accelerating its IP migration and replacing its legacy equipment with Ribbon's SBC 7000s. Additionally, another large Asia-Pacific service provider selected Ribbon's SBC 5000 for network interconnect based on superior scale and flexibility as well as our ability to provide local support. We expect to recognize revenue from this customer in the second half of this year. And in Asia-Pacific we continue to extend our virtualization lead with a win for our cloud-based SBC for a new Web 2.0 mobile provider. Ribbon through its partnership with Verizon signed a second customer, a large enterprise for Verizon's SBC as a service. We believe demand remained solid with a meaningful number of potential customers in the pipeline ranging from large financial, technology, retail, and healthcare companies to large municipalities. With this new software as a service offering, Verizon can reduce client service activation times from months to days. We continue to invest in the federal vertical ahead of the competition. Recently we completed with our partner Verizon one of the largest voice-over-IP deployments in the Department of Defense's history, migrating more than 60,000 users to Ribbon's JITC certified application server technology. We believe this highly visible project will lead to more opportunities within the Department of Defense and federal vertical. Finally, we continue to gain share in the U.S. service and cable provider market displacing our largest competitor at a major MSO and a wholesale service provider during the second quarter. we also continue our strategic work with a Tier 1 service provider for a major fixed network transformation interconnect project leveraging Ribbon's four full core product portfolio and professional services. We believe this work will likely lead to additional transformational projects going forward as network modernization continues. Our second initiative is to leverage our global footprint in install base. We are broadening our opportunity pipe line with the products of both Sonus and GENBAND across our global unified sales force. Sonus SBC products are being trialed in numerous large GENBAND heritage service provider customers and we believe this represents an opportunity to grow this product offering in the coming year. Edgewater is another developing example. We believe our global sales force will be able to expand Edgewater's reach which is primarily U.S. based. We believe there are meaningful customer opportunities over time as we take Edgewater's product portfolio to our global installed customer base. Our third initiative is to expand in adjacent markets and related applications. We are focusing this initiative through our Ribbon Protect and Kandy product offerings. In terms of Ribbon Protect it was just declared generally available last Friday and our first customer deployment with Softbank is underway where we expect to recognize revenue from this project during the third quarter of 2018. Our pipeline is growing and we had numerous Ribbon Protect trials underway. We continue to make progress with Kandy. We signed an agreement with the city of Los Angeles to upgrade its unified communications capabilities and voicemail systems to Kandy's cloud-based UCaaS solutions. The City of LA project encompasses more than 40 departments and 50,000 plus employees. During the quarter we migrated a large segment of the end-users on this Kandy project to the cloud. We believe the City of LA project will be a strong reference point for other major U.S. cities. And lastly, our fourth initiative is to pursue and utilize strategic relationships, alliances in M&A. During the second quarter, Microsoft announced the last general availability of Microsoft Direct Routing for Teams. Last week we announced our first customer, NuWave who is leveraging our SBC in the Microsoft Teams deployment using the direct routing feature. We expect a positive impact for our SBC portfolio as this migration ramps up later this year and into next year. Of course the pending Edgewater acquisition leverages our scale in a faster growing SME market. Edgewater's product portfolio is highly complementary to ours and will strengthen both our Ribbon Protect and our Kandy UCaaS offerings by incorporating Edgewater Security, service assurance and analytics capabilities at the Edge. Edgewater also gives us exposure to the fast-growing SD-WAN market. We continue to actively evaluate a number of other M&A opportunities as well. In summary, it was another very busy quarter as we continued our integration work to fully capture our targeted cost synergies, at the same time we executed well against our four ongoing strategic priorities. For the second half of 2018 we remain completely focused on incrementally our market opportunities and operability to capture share within our core products as well as expanding adjacent growth markets. I will now turn the call over Daryl to discuss our financial results in 2018 outlook in more detail. Daryl?
Daryl Raiford: Thanks Fritz and good morning everyone. I'm going to review our non-GAAP financial results for the second quarter of 2018 and then provide commentary on our outlook for the remainder of the year. The slides on our IR website have the details regarding our historical financial performance. Our reporting framework is consistent with what we have presented in prior periods. I encourage you to get these materials from our website. As a reminder, when I refer to non-GAAP in conjunction with the financial metric, these financial metrics exclude the effects of purchase accounting and other items detailed in our earnings materials. Our non-GAAP financial metrics are reconciled for you at the end of both of today's press release and our earnings presentation, both are available on our investor relations website. Turning to the second quarter, Ribbon produced strong financial results as it relates to both revenue and adjusted EBITDA. This favorability was driven from a combination of orders closing earlier in the year than we had originally anticipated, as well as an acceleration of our restructuring activities. Our second quarter 2018 non-GAAP financial results were as follows. Total non-GAAP revenue was $145 million which was an increase of $10 million or 7% as compared with Q1 2018. The second quarter benefited from stronger than expected order volume of in quarter book-ship revenue as we realized about $7 million in sales in the second quarter that we have previously expected to complete within third quarter of 2018. Non-GAAP gross margin was 64%. The incremental revenue in the quarter disproportionately drove sequential improvement in our gross margin. Additionally, we had favorable product mix within our deals driven by large section accounts coupled with high margin software content. Non-GAAP earnings per share was 14% as compared with a loss per share of $0.04 in the first quarter of 2018. Adjusted EBITDA was $20 million as compared with $1 million in first quarter of 2018. Our earnings benefited from the mix of higher margin revenue coupled with accelerated cost synergies as we drove to get the majority of our restructuring activities complete. Turning to the balance sheet, cash and investments were $55 million as compared with $85 million at the end of the first quarter of 2018 and $83 million at fiscal yearend 2017. In the first half of 2018 cash used in operations was $23 million. The use of cash was primarily the result of $21 million of restructuring, acquisition, and integration expense that was recorded over that same period. We project less than $10 million of restructuring and integration expense will be incurred in the second half of 2018. We've reduced our accounts payable and accrued expenses substantially from fiscal year in 2017 which resulted in a use of cash or $29 million which again related primarily to our merger activities as well as an intellectual property infringement lawsuit in which we are the plaintiffs. DSO was 85 days in Q2 as compared with 83 days in Q1. This is calculated using non-GAAP revenue. We do anticipate the DSOs will modestly improve in the second half of 2018 as we are forecasting more favorable customer payment terms based on the current deal mix. Borrowings under our revolving line of credit remained $20 million unchanged from year-end and our first quarter. Our undrawn availability remained unchanged as well at $80 million. Now I would like to move to our 2018 outlook. As previously communicated on our past earnings calls, will be providing annual guidance on adjusted EBITDA I would also like to note that the incremental second half 2018 impact of the proposed Edgewater Networks transaction will depend on the precise timing of closing of the transaction, which is currently anticipated to be at some point during the month of August 2018. Therefore our views on 2018 do not yet include the addition of Edgewater financial results. For the full year 2018, while we have exceeded our internal expectations in both the first quarter and the second quarter from improved timing, we continue to remain cautious of overall market conditions in the service provider space. But as Fritz stated, our second half pipeline is solid. We are trialing Sonus SBCs in a number of former GENBAND accounts and we are gaining traction on each of our strategic market initiatives. We expect our third quarter non-GAAP revenue to be slightly lower compared with second quarter driven by first half improvement in timing, but on balance we remain fully confident that full year 2018 non-GAAP revenue will be at least $580 million, which excludes any impact from Edgewater financial results. Our outlook for full year 2018 adjusted EBITDA, excluding Edgewater remains unchanged at $75 million. As Fritz previously stated, we have already operationalized over $75 million in annualized cost savings. Consistent with our previous statements, we believe we are fully on track to exit 2018 at an adjusted EBITDA run rate of at least $100 million. We do believe that Edgewater will be accretive when combined with Ribbon's financial results on consummation of the transaction in August. That concludes our formal remarks. I want to thank all of you for your continued support for Ribbon. With that, let me turn the call over to the operator for questions. Operator, we are ready for our first question.
Operator: Thank you, very much. [Operator Instructions] And we'll get to our first question on the line is from the line of Dmitry Netis with William Blair. Please go right ahead.
Dmitry Netis: Hi, thank you very much guys, nice quarter. I just wanted to gauge your confidence obviously here on the second half of the year, there were some obviously pull forward that you mentioned and you do now expect the third quarter to be lower than Q2. So can you give us sort of the magnitude of how 3Q is shaping against Q2, is it couple million dollars above or is it single digits, double digits? And it is a few million dollars we are looking at just for you to hit that guidance of at least you know 12% maybe 13% kind of sequential ramp up from Q3 to Q4 and just wanted to see how confident you are you're going to get there and what are some of the tea leaves out there that gives you that confidence from some of the major deals you may be working through?
Franklin Hobbs: Good morning, Dmitry. It's nice to speak with you. Thanks for joining the call. Dmitry we don’t guide within the quarters, but we did, we just remarked that the we do expect the third quarter to just be slightly lower in terms of revenue than the second quarter based on our improved timing in the first half of the year, but we remain very confident in terms of the full-year financial outlook for revenue of at least $580 million. Doing the math, that's about $300 million in the second half and we remain very confident in that. What gives us the confidence is, all things considered as we said on balance with the service provider market and what we read in hear and what our sales team is saying versus our execution in our four strategic initiatives and how we're progressing and based on our pipeline, all things considered we do believe that the remainder of the year is fully on track to provide an annual revenue of at least $580 million.
Dmitry Netis: I appreciate, but is there any specificity around maybe the strength in Asia you had mentioned a lot of big, large service providers there, Softbank and then one other. You also mentioned the Web 2.0 mobile provider, are those exceeding your expectations right now? They are moving along with your expectations, any color around those big transformational projects would be helpful?
Daryl Raiford: Our improved timing was a result of strength in Asia.
Franklin Hobbs: I think and we'd also say Dmitry that this is the result of a lot of work over the last couple of years. We really feel good about our position in Asia and we're making some progress across a number of accounts. But with this is just I think a combination of a lot of work that's going on by the sales team and the product team over the last two or three years.
Dmitry Netis: All right and then maybe some color on the Web 2.0 mobile provider can you give us little bit of what they do and what kind of products they are using?
Franklin Hobbs: That Web 2.0 mobile provider is a cloud-based mobile operator that looks very similar to say what Amazon would be providing in the United States. We're not able to use their name in the Japan market, but it looks – the business model is very similar. So if you think about the Amazon Web Services growing and what we've experienced that particular market we believe is set for a similar occurrence.
Dmitry Netis: And what is the product?
Franklin Hobbs: SBC.
Dmitry Netis: Oh it is SBC, okay. My last question and I'll move off for the rest of analysts on the call. Gross margins came in quite nicely. I would venture to say this is the result of strong SBC quarter just repeat that it's not the case, but if it is what’s the expectation for gross margin as you move through the year?
Franklin Hobbs: Well, we have a guided gross margin. We've given some commentary on what we believe full year revenue trends to be and specifically a guide for adjusted EBITDA. So our view within our view for margin for the year that comprehends that adjusted EBITDA has not changed. Margin in the second quarter was improved based on some software content and mix in terms of the products and you mentioned SBCs. We expect the margin to be where we have originally viewed it from the beginning of the year is that comprehends the adjusted EBITDA guide of $75 million.
Dmitry Netis: Do you expect the software content to continue to step up in the second half from what you did in the first half?
Franklin Hobbs: I would say the second half will continue on kind of the multi quarter trend of improving. I don't know but I really don't want to speak within the quarters, we don't address quarters.
Dmitry Netis: Okay, thank you. I’ll move on, I'll take it offline. Thank you very much guys.
Franklin Hobbs: Thanks.
Operator: Thank you. We'll get to our next question on the lines, from the line of Mike Latimore with Northland Capital Markets. Please go right ahead.
Michael Latimore: Great, thanks lot. Great quarter there. On the - just on the overall revenue, can you give us a pro forma organic growth rate year-over-year, I just want to make sure I get that accurate?
Daryl Raiford: Let me, I'm sorry, what was the question, our pro forma growth rate on non-GAAP as revenue.
Michael Latimore: Non-GAAP revenue, yes.
Daryl Raiford: Second quarter over second quarter, we really don't speak to, we really haven't spoken to pro forma in terms of that on a reported basis though, clearly it is quite a bit of growth, but we haven't spoken to the pro forma.
Michael Latimore: Okay. And then in terms of the - you mentioned there's a lot of testing of SBCs in the GENBAND base, I guess can you provide a little color on, I guess how much revenue actually came from across sales in the quarter and then are you expecting some sizable deals in the second half of the year from cross selling?
Franklin Hobbs: Well, this is a full, as we said at the beginning of the year, this is a full year process, we taken some very thoughtful and deliberate actions to begin to streamline our product offerings and including in that is a trimming and streamlining of the former GENBAND SBC product line in favor of the Sonus product line. We are trialing a number of four large service provider former GENBAND customers with the Sonus products. We're encouraged by the process timing itself. It is quite a bit to provide the equipment to get it into the labs, to get it then to trial, to then get it certified to then move it through procurement. We believe we're kind of on that full year process. We look more towards 2019 as being a year in which we would be able to recognize more revenue from that.
Michael Latimore: Got it. And then just last one, this City of Los Angeles deal 50,000 users UCaaS, is that fully deployed or is that still in the process of being deployed and then who was the main competition there, was it sort of an on-premise system or was it another cloud provider?
Franklin Hobbs: It was replacement of an enterprise on-premise system and the 50,000 users are not fully deployed, they're deploying over time.
Michael Latimore: Was there another cloud provider there in the competition for that or was it pretty much on-premise versus hat you guys?
Franklin Hobbs: I don't, I'm not aware of another cloud provider that was in competition. One of the enabling features was our ability as a cloud provider to provide a seamless transition from the on-prim solution to the cloud that does did not disrupt any of the other network elements that surrounded the solution. We believe that that's one of our competitive strengths overall as we address our installed base and that was potentially an important buying decision.
Michael Latimore: Okay, thank you.
Operator: Thank you very much. We're going to take our next question on the line from the line of Mark Kelleher with D.A. Davidson. Please go right ahead.
Mark Kelleher: Great, thanks for taking the questions. Congratulations on a strong quarter. Maybe we could keep going from that last question and talk a little bit more broadly about the opportunities for Kandy, what are your expectations there, is that on track, is it ahead of schedule, when do you think that can be a meaningful part of total revenue?
Franklin Hobbs: Good morning. Mark, it's nice to hear from you. In terms of Kandy we are, we do believe we're on track. We don't believe that it's going to be a material contributor to revenue this year. We do, we are demonstrating and trialing and in discussions with a number of service providers that would be selling through our solution, to into the enterprise. We look forward to 2019 and the market itself is growing. We see it as developing, but this year we're really not calling it as a material part of our revenue.
Mark Kelleher: Okay, maybe talk a little bit about your thoughts on additional acquisitions after Edgewater particularly with regard to your capital structure, are you guess sort of work through these current acquisitions and then reload or do you think you have enough financial power to make additional acquisitions?
Franklin Hobbs: We think this, we think we have opportunities in the acquisition arena and we think we have the capability of doing them and we think we have meaningful debt capacity given our pro forma as Daryl's described our yearend financial situation and we think we've got a lot of flexibility here as far as opportunities. I mean there are going to be a number of companies in the mid market that are going to be facing we think over the next couple of years a real interesting dilemma of how do they have a sales force that can sell on a global basis. And we think this is a real strength of ours and it was one of the reasons that I think the Edgewater team felt comfortable with us is that we really had the ability to take their products and broaden the distribution. We think there a number of other companies in that position whether we can actually come to agreement with them on, we don't have a clue, but we think there's a number of other opportunities. And further there are some opportunities in our space where maybe we can find someone who we can take a meaningful cost and create more products for our sales force. As one of my top sales guys said, he said, we'd just like to have a few more arrows in our quiver. So I think they're looking for more products. If we can add more products to our sales force on a global basis we think there's some real upside on that. So we're constantly looking for opportunity in that regard.
Mark Kelleher: Okay and then maybe just your thoughts on the growth opportunity of the service provider SBC market versus the enterprise SBC market with the new acquisition what are the, what's your expectation in those two markets for growth?
Daryl Raiford: Well, the company right now has a mix of about 89, I think in the second quarter it was 89% or nearly 90% of our revenue from the service provider market and about 11% from the enterprise. We do view along with many market analysts, the enterprise space is outgrowing or outpacing the growth in the service provider space and we are making investments and we think that Edgewater positions us very well there and will position us when the transaction closed as a market leader, especially in that small and medium enterprise space which is actually set to outgrow as a subsegment the larger enterprise space, so we think that that's positioning us well. The service provider market is set to just over the next several years based on market analyst reports set to very modestly grow. Enterprise is set to outpace that. We think we're positioning the company with the Edgewater acquisition and with our enterprise capable SBC product to be able to take share within the enterprise market as it potentially up growth the service provider space.
Franklin Hobbs: Another way of putting it is, if you take our current enterprises Daryl just outlined and you take Edgewater enterprise, we have a meaningful enterprise business. Now the question is how we integrate that and make that and obviously it is operational challenge for us, but is one that we're completely aware of and one where we will resolve over the next several months. But we look at that as giving us real size and heft in the enterprise market to be looking at that in a much more aggressive fashion than we might have in the past.
Mark Kelleher: Okay, great. That's all I've got. Thanks.
Operator: Thank you very much. [Operator Instructions] We'll get our next question on the line from Paul Silverstein with Cowen & Company. Please go right ahead.
Paul Silverstein: Thanks. I appreciated you taking the questions. First of Daryl, can you remind me what are the acquisition related adjustments that contributed an additional $4 million and 230 business points to gross margin?
Daryl Raiford: Amortization of acquired intangibles.
Paul Silverstein: Okay, what was the headcount in the quarter?
Daryl Raiford: The headcount at the end of the quarter was 2,189 which down from this time last year of 17%.
Paul Silverstein: Okay and Daryl going back to a previous question I'm little confused, I thought I saw the adjustments, there was a benefit to revenue, you added back revenue in the pro forma of $4.2 million between services and products that's the particular item I'm trying to understand.
Daryl Raiford: The adjustments between GAAP revenue and non-GAAP revenue represent essentially two items. The larger item is the approximate an add back of the approximate $40 million of deferred revenue that was written off in purchase accounting from the acquisition of GENBAND and so because that revenue is no longer - can no longer be earned under GAAP, but the activities were performed and so we make an adjustment for that. The second adjustment is a much smaller adjustment. We removed about $12.5 million of deferred revenue as part of the adoption of ASC 606 and that’s the recognition in non-GAAP of that loss deferred revenue from the adoption.
Paul Silverstein: On the first item, so you're adding back the deferred revenue you otherwise do not recognize under generally accepted accounting, but you're adding that back in the pro forma?
Daryl Raiford: That's correct, in non-GAAP not in pro forma, but yes I understand what you mean, in non-GAAP the add back of - and it will be throughout the year. It was in the fourth quarter, it was in the first quarter, it will be throughout the remainder of the year, it will be approximate $40 million.
Paul Silverstein: I'll revisit that offline. Let me move on. Can you tell us what your service provider growth rate was, I know you've given the mix of 89% to 11%, but can you tell us what the growth rate was for service provider and for enterprise respectively?
Daryl Raiford: I don’t have, let’s see, I’m looking through that.
Paul Silverstein: And while you're looking for it, I will also ask…
Daryl Raiford: I don’t have that broken out, I don’t have that, I'm sorry Paul. I don’t have that broken out. The mix for example was 86% service provider and 14% in Q1, so while revenue is higher over Q1 the mix did change and then, the mix that was approximate Q4 mix as well of above 86 and 14, but we don’t break out, we don’t break it out in the way, in the Investor Deck in the manner in which you just…
Paul Silverstein: Fine, but if I heard it correctly it was 86% in Q4 and Q1 it was 89% in Q2.
Daryl Raiford: That’s correct.
Paul Silverstein: All right, let me move on. Can you, if I missed these numbers I apologize, but I didn’t see a breakdown by region, do you have that?
Daryl Raiford: Yes, that’s on page 7 of the Investor Deck, the domestic and international is broken down. I believe that the 10-Q that will be filed tomorrow will have the specific regional breakdown, EMEA, United States.
Paul Silverstein: All right, a question for you and Fritz. Can you give us, I appreciate your sensitivity on - by particular customer, but can you give us any benchmarks insuring to size the opportunities presented by Kandy? For instance that LA Kandy projects, but within it was correct me, where you got 50,000 plus users that are going to come on board, how do we think about that either on a per user basis or whatever metrics you care to offer in terms of trying to gauge the opportunity? The same question for Ribbon Protect and the same question for Softbank deployment or again I respect I appreciate some sensitivity, but any metrics you can give us to think about the potential revenue contribution over time from these deferred opportunities?
Franklin Hobbs: So Paul, as you know, I discussed - look I think we're excited about the opportunities. At this moment we really think that's the word to use, opportunities. As Daryl said earlier, the revenue impact for us in 2018 is modest. We hope it is going to be more meaningful in 2019, but then even in 2019 it is not going to be determinative of your feeling about the value of this company. We think in the longer run it will be meaningfully returned, but today we're at a lot of, we're sort of at the tipping point with a lot of accounts here to see if we can translate the work that we've been doing and it's a long sell as you can imagine that we can translate that into revenues. And so we're cautiously optimistic, but the numbers themselves are relatively modest. However, they are repeatable numbers as you well know. When you start selling some products out it starts transforming us more into a SaaS mode than it is to our product sale mode. So we're encouraged, but I wouldn't say it will be anything that's going to meaningfully affect your view of our company in the near future.
Paul Silverstein: I appreciate that Fritz. Let me ask you two last questions. Returning to the regional growth and I appreciate we’ll see it tomorrow, but when you look at the business, over the longer term, I trust well Japan is a big piece for the story given their mandate for 2025. But let me ask it two ways, right now the growth in the quarter was that all primarily Japan or you're also seeing growth outside of Japan? And then I'm going to ask a longer term question.
Daryl Raiford: No, it was not limited to Japan.
Paul Silverstein: Okay and I assume the same would be true of your longer term view that you're looking for growth not just, Japan is going to be a key piece of it, but your growth outlook goes beyond Japan?
Daryl Raiford: Exactly.
Franklin Hobbs: Yes, I mean Paul, we've spent a lot of time on just your question on our core business, where should we be investing spending time, money, and resources, on trying to establish can we take share, is there growth. We think the federal space has some real interesting opportunities as we touched on in our comments. So we think there are three or four areas, Japan, federal, SD-WAN. The enterprise space that we discussed earlier we really think there's opportunities for us to add to our current business.
Paul Silverstein: Got it. Let me ask you one last question and Fritz I appreciate it's all about the longer term. So that's said, how much of your guidance in the second half is you being appropriately conservative or how much of- well I'll leave it at that?
Franklin Hobbs: Well, Paul you saw me, I'm a little old guy with white hair. I've seen too many movies. We're trying to give you the best shot we have of where we're sitting. We feel we're making progress on everything we've told you about and I think it's up to us to prove it to you.
Paul Silverstein: All right, I appreciate. I'll pass it on. Thanks guys.
Daryl Raiford: Thank you, Paul. It’s nice to speak with you.
Operator: Thank you very much. And we’ll go to our next question on the lines from the line of Jeff Bernstein with Cowen and Company. Please go right ahead.
Jeff Bernstein: Hey guys, just wanted to get a little update on [indiscernible], you guys had a good rip and replace win with a Tier 1 wireless carrier in the U.S. some time ago now and just give us an update on how that's going and whether that's translating into any other opportunities?
Daryl Raiford: You're right we did and we continue to market that solution. We haven't addressed any specific opportunity or within the pipeline, but there are opportunities that exist and we'll continue to market and actively sell that solution.
Jeff Bernstein: All right, thanks for taking my question.
Operator: Thank you very much and Mr. Hobbs, we have no further questions at this time. I'll turn the call back to you.
Franklin Hobbs: Thank you all for your time. We really appreciate it. We'll get back to the drawing board and keep pushing. Thank you very much.
Daryl Raiford: Thank you everyone.
Operator: Thank you very much. And ladies and gentlemen this does concludes the conference call for today. We thank you for your participation and ask for you to disconnect your lines. Have a great day everyone.